Operator: Welcome to CellaVision Q4 Report 2025. [Operator Instructions] Now I will hand the conference over to CEO, Simon Ostergaard. Please go ahead.
Simon Østergaard: Thank you very much, and thank you very much out there for dialing in for CellaVision's quarterly report Q4 2025, which obviously also includes the consolidated results from the entire 2025. A lot of good things have happened. And first of all, I want to formally welcome our newly appointed CFO, Monica Jonsson, who is with me today to participate and, of course, explain our business. Monica has been with us since autumn, and she was formally appointed CFO with CellaVision on December 12. So that was the first good news. Hopping into the quarter in brief, the Q4 in brief, we have entitled our quarterly report as a solid quarter driven by strong performance in Americas. So it's particularly in Americas. However, we also see a pretty strong performance in EMEA, while the quarter has been somewhat soft in APAC, and we will unfold that throughout the -- today's call. We landed the quarter with net sales that increased by 5.6% to a revenue stream of SEK 197 million, which translates into an organic growth of 12.2% given our headwind on the FX of minus 6.6%. So double-digit growth throughout this quarter. This translates into an EBITDA contribution of SEK 65 million, equivalent to 33 percentage points. In terms of the business, we will go into the business and explain both our P&L, our regional split, give some highlights there and of course, also cut it across the different product families. But I also want to give a little bit of insight as to our progress on our strategic direction. We accomplished a key milestone by getting CE Mark for our new applications for bone marrow aspirates. So this is a Class C product that is now registered according to the EU IVDR, which allows us to start launching the product this year or pretty much in the quarter we're in. We can talk more about this a little bit later. We have also -- as we've noticed in our latest report, we've also been working on a significant software upgrade for our hematology instruments. This has been successfully validated at a customer site. So this really allows to upgrade our fleet with a modern and user-friendly interface, some new features, including also higher speed on the new DI-90 -- DI-60s that comes up. Furthermore, I also want to emphasize that the -- since we are coming to the year-end, the Board of Directors proposes to increase our dividend from SEK 2.5 per share last year to SEK 2.75 per share. So this is what will be proposed at the Annual General Meeting taking place on the 28th of April. If we zoom in on the financial development for Q4, I've mentioned our revenue. And then if we hop in -- so on the left-hand side, we have the quarter we are reporting today, the comparable quarter, and then we've consolidated the entire full year report with a compare from 2024 to the very right-hand side. For the quarter, our gross margin was 67%. So a little bit lower than normal, a little bit hit by software, especially from APAC, but also FX also takes us down a little bit here. Operating expenses landed at 39%. And EBITDA, I've talked about the SEK 65 million that is 33%, which is above our target of 30%. And then we -- on the R&D side, which is really very strategic for us, we've increased our R&D spends over the -- within this strategic period. So we're at 19% and up against the compare, it drops from 22%. So it's actually SEK 37 million in total R&D spend. But maybe I can ask you, Monica, to comment on our capitalization and also -- maybe also our principles for capitalization that might be appropriate.
Monica Jonsson: Sure. So during the quarter, we capitalized SEK 15 million in R&D costs. And as you can see then that we capitalized more or less half of the R&D spend. And what is not capitalized is mainly related to projects that are in an early stage and also product care. And you will see during 2026 that we will start capitalizing some of the projects that are maturing and also start depreciating some projects that we are launching products such as bone marrow.
Simon Østergaard: Excellent. So the -- so on the cash flow side, operating cash flow of SEK 51 million, so slightly increased with SEK 5 million versus our comparable quarter and a total cash flow of SEK 30 million. So going from the operating to the total, the majority of that is really the cash that we invest and capitalize in R&D. That's what sits there. We have low -- very low financing activities. So we have hardly any debt, and we end the year with a balance sheet that contains a cash position of SEK 180 million -- SEK 188 million, sorry. All right. Yes. So I could say that here, we are also showing the full year results. So we landed the plane or the year of SEK 759 million, which is an organic growth of 9% over the year and a gross margin of 68%. And that provides a total cash flow of SEK 40 million. So obviously, we've paid out dividends, and we have also capitalized a considerable amount of R&D cost of SEK 67 million throughout the year. So that is the main components that brings us to this total cash flow of SEK 40 million. Right, let's move on. Let's try and look at the regional performance across the 3 regions, Americas, so North and South EMEA, including the Middle East and APAC. So our performance was very strong in America, in fact, all-time high with SEK 90 million. That is an organic growth of [ 50% ] throughout the quarter, also 50%, but then the headwind of currency effects. So organic, 58%. Very strong momentum in Americas, especially in the U.S., which you may also -- by Sysmex in their last couple of reports, Sysmex being our main strategic partner. So that is kind of the business that is elevated as [Technical Difficulty] our joint momentum. It is fair to say that it's extremely high, and that is also due to the presidential election in [ Q4 this year ]. I think that's a fair comment to provide the full picture. For EMEA, we had -- there, we also saw an increase in both in small and large systems. And we obviously also had a contribution from reagents, but they actually impacted negative this quarter. There is -- that is a euro business. So we are primarily [ impacted by ] currency. And then there's a little bit of phasing on there. But I can talk more to reagent in a second. On APAC, we landed sort of in -- we -- typically in APAC, we have high fluctuations depending on whether we ship to APAC, in particular, China or not. And here, we landed in a pretty reasonable quarter, SEK 28 million. However, it does represent an organic decline or growth of minus 40%. And that is also due to a strong comparable quarter. You may recall that we had a, let's call it, a one-off tender delivery for New South Wales in Q4 last year, which is why we organically declined so much because it's a reasonable quarter where we've seen deliverables going both to China and to Southeast Asia, a little bit spread. So -- and then we continue to see growth of the -- our expansion into APAC throughout this -- a lot of countries, of course, smaller volumes, but we are building our position with the RAL stains across APAC. And if I cut the same numbers per product family, instruments, reagents, software and others. Here, you do see that our total instrument revenue was SEK 126 million, and we talked about the U.S. and the other elements. But it gives us a growth of 8%. For reagents, we actually were flat or minus 2% on the total business -- on the total business for the quarter, which translates into 6% growth on the year. So organically, around 9%. EMEA decreased slightly. And as I said, that is primarily currency. I would say though that we -- our hematology, which is the growing portfolio we have, what we -- what does not relate to the hematology labs and then the hematology reagents. Hematology reagents, which is the bulk of the business, like 2/3 of the business, it grows 10% for the majority of it, which is for Europe. And in APAC, where we've started to expand with our hematology reagents. There, we also had solid growth, but though smaller numbers. But we grew on the quarter from SEK 1.4 million to SEK 2 million with -- up against the comparable. And that pretty much more than doubled our revenue in APAC on the year. For software and others, we had declining growth for -- I should say software and others. It contains both spare parts, of course, software and also consumables such as oil, but it also entails the currency effect, which impacted our numbers considerable from a comparable position here. Specifically on the software, we were low in the compare and there was a major contribution from APAC due to the large tender we provided last year, where we also -- that also entailed a considerable amount of software. So this is also why we see the decline. Key takeaways, as we say, the fourth quarter is driven by strong performance in Americas. We said we landed our year with 9% organic growth. And in fact, if I really look at where we work and how we work with our strategic partner organizations, our core strategy, it works. We are growing double-digit with these -- both partner organizations across the world. However, we have some product -- some product lines like non-hematology other products that has taken our organic growth a little bit down. But our direction is paying off. And that also -- that is also consistent with -- that also applies to our Power of Focus strategy that we communicated in 2022. Here, we invested a very ambitious investment program in R&D and innovation. And one of the levers was a new lever of entering what we call the specialty analysis arena. So more applications to assist the hematology labs out there to diagnose blood-based disorders. The first product is out. That is the product for bone marrow, as I initially said. So we do believe that now we can start building the market for assisting the lymphomas and leukemias out there in the hematology lab and adjacent labs where they utilize this hematology solution or this bone marrow solution. So we are starting to launch. First, campaign-wise, there will be training of our partner organizations. There will be building of a funnel, and then there will be evaluations of -- and really for the health care professional to see how it assists their workflows. And then we do expect that we -- in the, let's say, the second half of the year, we will start seeing revenues from this product from Europe. And then we are, of course, also on that note, aiming for getting into the U.S., but more about that later. As mentioned also when we teed up the call, we have a major milestone in launching the software upgrade that delivers this faster and smarter workflow and cutting-edge user experience for the hematology labs. And actually for the new DI-60 systems, that is integrated with the hematology line of Sysmex. It offers an improved integration, but it also entails an improved throughput. So the number of blood samples that can be deployed will increase on the new DI-60s. So we believe we are well positioned to continue our journey in assisting the mid- and high-volume labs. So very important key takeaway is repeating back to our Power of Focus, where we in early 2020 -- or in spring 2022, we acquired the exclusive rights to -- IP rights to a patent portfolio that was invented by Caltech. And we have deployed and further developed our technology in our hands. And as you can see in the way we communicate, we're extremely confident that this will really support our next-generation hematology analyzers that are part of this major investment program that CellaVision has gone through and is going through. And furthermore, we are also very clear on our ambitions to expand and deploy our capabilities for adjacent areas. And here, we are also confident to say that we truly believe that the way we go about pursuing our vision of really pushing the evolution of microscopy, we have a disruptive microscopy solution in our hands. And we believe that, that is something we will continue to invest in, and we will also pursue future partnerships that can help us commercialize these technologies in the future. So with that, taken together, the -- I do believe we ended 2025 on a pretty strong note with 9% organic growth given everything that have happened. And I'm actually very proud of the team given the fact that we've done this with our existing portfolio, and we are seeing now that our innovation program pays off, and we are starting to start launching all these new opportunities, which we are very confident will be a profound platform for future growth. With that, we will close this session and enter the Q&A.
Operator: [Operator Instructions] The next question comes from Ulrik Trattner from DNB Carnegie.
Ulrik Trattner: A few questions on my end. First of all, and I apologize, I struggle a little bit with the sound, maybe it was just me. So it might be things that you already addressed. But if I can start off with the DC-1 and the DC-1 momentum, particularly in the U.S. And you sound like current trading and what you did see throughout Q4 was really improving. Is that something -- what do you derive that from? Are you seeing that there is sort of increased capacity from the labs to expand and invest versus last year or the reasoning behind the current sort of situation and demand flow?
Simon Østergaard: No, fair. And thanks for your question, Ulrik. I think we see a momentum also given the softness we experienced a year ago, then gradually over the last half of 2025. We've seen positive momentum communicated externally by Sysmex and what -- how the market is operating on the large lab segment. And we've seen that translate into that also entails our solution, our integrated solution. And at the same time, we have seen the interest, let's say, come back on the DC-1. And I think what is happening, and this is also something we are really starting to position the targeted opportunities for the integrated health networks in the U.S. So there, having the labs that can digitalize the satellite labs, that is the value proposition. So there's one story around the workflow for the individual labs. But then what we are really seeing resonates in the U.S., because they are digitalized to a relatively high degree, that is attaching these IHNs or the integrated health networks to distant satellite hospitals. And this is where we believe there is a market that is, I shouldn't say untouched because we have certainly placed DC-1s, but the opportunities is much larger than what we have placed so far.
Ulrik Trattner: That's great. And for the last few years, we have seen this prolonged order to installation trend. Has there been any shifts sort of in that being shortened here? Or is it still the same situation?
Simon Østergaard: No, I think typically, from orders are placed, let's say, in the U.S., it is our belief and understanding that, that is pretty much a phase of 2 to 6 months. Then we have been in a situation where it probably was longer. And now it seems like we're somewhat back to that kind of up to half a year. And that's because hospital places the order with Sysmex, and then there is an installation project starting up. So that means that everyone, IT, et cetera, has to come together and then all the equipment, the cell counter, including CellaVision's cell morphology analyzer needs to be in place. So this is why from the orders of Sysmex to that, that is about this -- up to half a year. And then it varies. We saw the tender we talked about in Australia that took 5 years. So it does vary. There are deviations to this rule of thumb.
Ulrik Trattner: And this -- you touched upon this now with sort of the software, I noted as sort of software and others in your report, had a bit of weakness here in Q4 affecting the product mix. And as you alluded to the sort of larger tender in Australia, and now you're rolling out an updated version. What to expect from that segment? I guess you would assume some big price increases for software heading into '26 versus '25.
Simon Østergaard: Actually, that's not how we position this. We position this solution as part of the -- both the new DI-60s. So we want to be competitive and protect the installed base, also the replacement market. So this is not an upgrade where we charge. It's part of the DI-60 system. But what it does, it also allows the health network. So if you take a given hospital with the satellite hospitals, et cetera, they -- if they upgrade to this software version called 7.2, then all their entire fleet, including the old instruments, will all of a sudden be utilizing a new user interface with the improvements that we are launching in the software. So this is a way to really provide additional customer experience prior to our next generation coming out. So we have sort of considered that's a better proposition as opposed to starting a price, we would rather increase right prices when we come out with new hardware.
Ulrik Trattner: Okay. So that would entail that there is no price increase of the DI-60 either. It's just...
Simon Østergaard: No, there will be price increases on the instruments, but we will not sort of take the route of just charging for software. We believe we have a better -- we will capture the growth from the instrument placement instead.
Ulrik Trattner: And then just an accounting question here and just to double check if my sort of maths about sort of aligned with yours. Because capitalized R&D historically has had an effect on the gross margin side. So I'm -- and now when you're rolling out the bone marrow application, I'm approximately at a 1 percentage point headwind on the gross margin on the back of starting to depreciate that. Does that sound fair?
Monica Jonsson: Yes, that sounds reasonable.
Ulrik Trattner: Great. Short answer, I like it. And then last question on my end before going back into the queue. If you can provide some more granularity on the rollout of the bone marrow application and the methanol-free reagents throughout sort of '26? And going to the bone marrow, is there -- I know that you say that you will do a launch here in Q1, but is there any conferences here in the near term where you're going to do more of a broad-based launch as well as how does the training of Sysmex personnel going?
Simon Østergaard: Great question. Yes. So for the bone marrow, you're absolutely right. We'll start sort of the SoMe campaign in this quarter in March. We will -- we are in the process of training the Sysmex reps. And once that is done, then we will, of course, start to position our solutions in the -- in Europe across the different countries. There will be demos in the different individual labs, and then it's commercially available. With regards to conferences, we'll do the big launch at the ISLH later in May. That's in May. So that's the big conference where we sort of give the splash. And then we will also be present at [ ACP ] later in the year. But ISLH is the biggest launch sort of event. Coming back to the quarter here in Q4, I just want to express my appreciation also for our partner organization who has been with us on site here with Sysmex, where we have presented the bone marrows and then we actually obtained the bone marrow CE Mark before Christmas as opposed to Q1 as we had pointed. But that is kudos to the team for actually driving this to be in our hands a little bit earlier, but also to Sysmex who are really welcoming this significant product. On the methanol-free, I can also --you -- right, you also asked about methanol-free, right?
Ulrik Trattner: Yes.
Simon Østergaard: Yes. The story around the methanol-free stain is that -- so we've been selling our -- our reagent revenue is primarily the classic stains. And now we have this methanol-free stain. We've had it for years, in fact. But now there is an opportunity for the methanol-free to be running on the SP-50, so the smearing and staining device of Sysmex. And that has opened up for the opportunity to globalize [ methanol-free ]. So this is -- this will be available. It is available in Europe. But this is also the opportunity to enter the U.S. where we have hardly been selling any reagents. So this is obviously the plan. We are currently in the U.S. We are current, let's say, tweaking the protocol, so the actual stain resembles what is preferred in the American market, right, right, Giemsa stains. So it's still methanol-free, but there is a little bit of trick going on there, and then we plan to launch it this year. So this is the plan together with Sysmex. That is the game plan for to get into Americas or the U.S.
Operator: The next question comes from Ludvig Lundgren from Nordea.
Ludvig Lundgren: Yes. So I have a few, and I'll take them one by one. So starting off on order intake, I believe you said you have a very strong order intake in Americas from the networks. So I just wonder if it's possible to, in some way, quantify the book-to-bill here in the quarter and whether the strong order intake, is it fair to expect this to translate to strong instrument placements also in H1 '26?
Simon Østergaard: Yes. So in general, there is a momentum in the Americas and especially in the U.S. So it's early days, and we don't typically disclose our order book for the current quarter. Having said that, I see no reason why the momentum for Americas should vanish. So I think we're in a reasonable solid situation there from what we hear from the market situation.
Ludvig Lundgren: Okay. Great. And then I had a question on gross margins as well, a bit of a follow-up. So softer here in the quarter. And I just wonder like if it's possible to quantify how much of this relates to FX and how much of this relates to the softer software sales and the weaker product mix from that, like in rough terms would be great.
Monica Jonsson: Yes. Comparing to last year, it's a lot of FX and somewhat product mix. Exact relation here, I will not disclose, but a little more FX than product mix.
Ludvig Lundgren: Okay. Great. And then a final one from my side on gross R&D. You talked a bit about it here, but I just wonder like it was down to SEK 37 million, down 9% year-over-year, I believe. Like why was it down this quarter? And like how should we think about this R&D -- gross R&D level looking into '26? Is SEK 37 million a reasonable level to extrapolate?
Monica Jonsson: Yes. Actually, we see some decline in R&D spending in Q3 and Q4 versus last year's Q4, Q1 and Q2, and that is mainly due to the phase of one of our biggest projects where we had a lot of buying of consumables during Q4, Q1 and Q2. And then due to the phase of the project, we do not have that in Q3 and Q4. And then also, we have released some consultants that worked on the software upgrade project after the Q2. But what we see going forward, we will see continued high R&D costs actually in 2026. We have many interesting projects that we are working on. So I would expect more in line with Q1, Q2, Q3 levels also during 2026. So Q4 is not significant what you will expect for the next year -- for this year. So more in line with the quarters.
Ludvig Lundgren: Understood. Yes. And just a follow-up on that, like what is a fair capitalization rate to expect on these projects then in '26?
Monica Jonsson: Yes, more or less at the same level. We'll see.
Ludvig Lundgren: Higher or lower. Yes. Okay.
Simon Østergaard: Probably the same level. The projects that Monica elaborated, some of them will be early stage, which means that we don't capitalize. And then some of them will actually make it throughout our development model, and they will cross the line and start being capitalized. So there's a little bit of balance.
Monica Jonsson: And then we have a few that were capitalized up until Q4 that are now depreciating. So that is then evening out.
Simon Østergaard: Yes.
Operator: The next question comes from Simon Larsson from Danske Bank.
Simon Larsson: Yes. I think most of the questions have been asked and answered already. But maybe just to clarify, did you say that we should expect, Simon, some contribution from the bone marrow application in EU here during the fiscal year in H2? Was that correct?
Simon Østergaard: Yes. It's -- so we're building up the funnel, but we do expect that -- so the question is how long time does it take for the labs to evaluate it before they place the order and we ship to Sysmex. However, we are positive that we should start selling and see invoices, so to speak, in the second half and in particular, in Q4. That's our ambition, definitely.
Simon Larsson: Yes. Yes. I think also this was touched upon before, but on the methanol-free [ reagents ], obviously now available in EU with Sysmex. Is this more also a second half thing? Or could we see something here already in first half?
Simon Østergaard: Yes. I think for EU, I think the methanol-free stain represents a growth opportunity in general because it's a better value proposition. However, given the market share we have on the route and there is markets where we have a very low market share where there's plenty to do and there's markets where we have very high market share. But we will cannibalize a little bit in Europe. So that's my point that we may transfer certain classic stain customers to methanol-free in Europe. In the U.S., we expect that we will gain share as we start pushing this because there, we have 0 market share. We own the market together with Sysmex, but reagent-wise, this is when we start with the methanol-free. So there, we will gradually gain customers as they convert their engines and the line is down, then we expect to place methanol-free stains gradually. That contribution for 2026 is probably somewhat limited because it's also depending on the launch and then there is a phase where the customer would like to try it out. So therefore, we would be a little bit conservative on estimates for contribution from methanol-free in the U.S. I hope that explains the situation, Simon.
Simon Larsson: Yes, yes, definitely. And could you remind us roughly the difference in price between the methanol-free stain and the legacy stains from RAL, just in the case of cannibalization, I mean, what's like the net effect can be?
Simon Østergaard: No, I'm not going to go to the pricing piece also for competitive reasons. But there will be a little bit of a lift. But I would say -- remember, this is -- the hematology reagents are a little bit commoditized. It's high volume, but it's not sophisticated chemistry. So we will raise the price, but it's -- you cannot go for extra sort of top margins in this market.
Simon Larsson: No, no, that's understood. My final question relates to the FPM technology. You sound quite upbeat in the CEO letter, I think, around it and the prospects. So I was just a bit curious to learn about sort of what a potential partner could look like? Do you expect that to happen within the hematology market where you are present already today with your current existing partners? Or could this also be a new partner in an adjacent area? Just high level, if you could say anything about that.
Simon Østergaard: No, I think, yes, high level, I'd say definitely the position we have where we lead the hematology space, we are very confident, and I'm glad that I transmit the positive and confident attitude because that's what we have. So we are very -- we are now at a stage where we are confident to protect and grow our business in the hematology arena. The adjacent areas, this is where we've also, throughout 2025, matured the technology to a level, so that we've talked about cytology, we've talked about pathology. We're confident that we can actually build instruments for those segments. But there are other adjacent areas in the clinical space and in the research space, where we believe that the FPM technology, given the image quality, given also the speed, but the depth of focus. And there are a number of features where we believe we can disrupt those segments. Those will be players in the microbiology arena, in the hematology/cytology -- sorry, in the pathology/cytology arena and in the life science space. So now we're in a situation where we can engage more, let's say, fundamental and more substantially with partners because they can see what we can, and it's not just IP rights that we have acquired. So that's why we are pushing our communication a little bit further because we are confident that we sit on a disruptive microscopy solution here. And of course, we are looking forward to disclose partners or improvements as we go along. So yes, so that's, of course, our goal.
Operator: The next question comes from Christian Lee from Pareto Securities.
Christian Lee: Yes. I have one follow-up regarding the order intake. You mentioned that you reached record levels in the quarter from larger integrated networks in the U.S. Did you deliver most of it in Q4?
Simon Østergaard: Yes. Yes, that may be worthwhile sort of communicating that the order intake, it is also shipped. And then we believe we still have momentum for Americas. So yes. What you see is what is shipped, that's what we booked for Q4. So that is correct.
Christian Lee: All right. But do you see any risk of inventory buildup impacting Q1 in the U.S.?
Simon Østergaard: In the U.S., I'd say roughly speaking, maybe a little bit for smaller instruments, but not necessarily for the larger instruments.
Christian Lee: All right. And could you please give us some comment on the outlook in the other regions regarding the instruments?
Simon Østergaard: Yes. I mean, I think that's along the lines of what we've said with the momentum we've seen in the different regions. So we believe that translates into orders. Now the business is fluctuating a little bit. And for Americas, we have relatively good visibility. It's a little bit harder for us for Europe because it's a consolidation of orders that comes from multiple countries via [ separating ] via the supply chain of Sysmex and then it comes to us. So there, we actually have less visibility. What we hear is that there is -- this is what we communicate and we have seen it over the last couple of years that there's a fundamental interest and -- for our solutions. And we see no reason why that shouldn't stop. And then, of course, we may have some fluctuations per quarter. But fundamentally, we believe we're in a pretty good situation also now that we are launching new software, et cetera. That makes us believe in the future. APAC, I would say we think we have good opportunities, incremental business in Australia and New Zealand. There could be some opportunities also in Japan. And then as you know, we are now manufacturing our integrated system in China. So that allows us to participate in domestic tenders where you have to be a domestic player and our products is registered in China as a -- being a Chinese -- coming from a Chinese legal entity. So over time, we still believe in China. However, we also know that this is where our competitive -- our competitor is strong. So we're up against that in China. But it's a huge market. So we believe that there's certainly a position for Sysmex elevation out there.
Operator: The next question comes from Ludvig Lundgren from Nordea.
Ludvig Lundgren: Yes. Just another follow-up on the reagent side. So that was a bit weaker in Q4 when comparing to Q3, but Q3 was, of course, very strong. So I just wonder like is an average of this a fair assumption going ahead? Or like what would you say is the run rate of reagents currently?
Simon Østergaard: No, I agree. I think Q4 was a little bit weak, both on the hematology side, even it was 10% organically, but we were flat, if not negative on the non-hematology proportion. So we had a big tender where we expected -- we've been working on that throughout the year, where we didn't ship products. So we were a little bit negative on that. So I think Q4 stands out as somewhat of a soft quarter on the reagents, and we expect it to bounce back and especially with the growth coming from the hematology where -- which represent approximately 2/3 of our reagent business.
Ludvig Lundgren: Okay. Great. And a follow-up to that, like what is a fair growth rate that you would expect for the hematology business? Like can this grow double digits looking into...
Simon Østergaard: Yes. I'd say historically, we've been landing at probably lower double-digit for the hematology. And I see no reason why we should -- it's a considerable business. So it takes more to change the growth, so to speak. However, with the gradual increase, we've seen the 80% growth we have on the hematology side in APAC. However, it's a small contribution, obviously. Total revenue out there this year was SEK 9 million. But still, it's growing. And then as we start over the next coming years to get into the U.S., I think that's where we can probably even more ambitious of getting higher growth rates for the company in the revenue bucket because this is really incremental growth that comes in, while we still believe that we have opportunities to grow double-digit in Europe, where we have a profound footprint. It's really a big thing for us that we can finally enter the U.S. given the fact that our -- the Sysmex smearing device can now host the methanol-free stain. So it is exciting for the coming years to start and build that market.
Ludvig Lundgren: And would you expect some incremental sales in the U.S. already in '26 from this?
Simon Østergaard: Yes, I would expect it, but I don't want to overdo it. I would say that I'm much more -- if I can see traction from the ones starting to use methanol-free, that would be our -- really our goal, but it will translate into some revenue, but it's at the end of the year, I would expect. So that would put us in a situation where it's confirmed in the market, and that gives us a good platform to -- for growth contribution in '27. I think that's the way to look at it.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Simon Østergaard: Yes. Thank you very much. And again, thank you, everybody, who called in and not the least to the good questions that gave us a meaningful report out here today for 2025. I want to sort of finish up the call by saying that I think what we have demonstrated throughout the previous year, both on commercial arena, but also on our investments and the organization's ability to translate the investments into to meet very, very crucial strategic milestones. That means we are set up to continue our position of leading digital cell morphology into the future. So thanks to our team for the relentless effort that you all do. But also thanks to our strategic partner organizations spanning from Japan and all across all regions around the world. I think that is key. And then finally, I also want to send my sincere thanks to our entire group of hematology professionals who are actually using our solutions on a daily basis. And amongst that segment, a special thanks to the ones who are providing us with feedback to our development programs and/or who has participated in our clinical validations, which has been a considerable part of the investments. But again, the good example is the bone marrow CE Mark that we, of course, want to leverage for a global product. So I really -- a big thanks to our employees, our partners and our professionals that we work with as customers. So with that, thanks for dialing in, and we are looking forward to actually be back with the interim report on the 24th of April. And then we have our Annual General Meeting for the April 28. So thank you very much.